Operator: Good morning, and welcome to Wiley's Fourth Quarter Fiscal Year 2020 Earnings Call. As a reminder, this conference is being recorded. At this time, I'd like to introduce Wiley's Vice President of Investor Relations, Brian Campbell. Please go ahead.
Brian Campbell: Good morning, and welcome to Wiley's fourth quarter and fiscal 2020 earnings update. On the call with me are Brian Napack, our President and Chief Executive Officer and John Kritzmacher, our Chief Financial Officer. A few reminders to start. The call is being recorded and may include forward-looking statements. You shouldn't rely on these statements, as actual results may differ materially and are subject to factors discussed in our SEC filings. The company does not undertake any obligations to update or revise forward-looking statements to reflect subsequent events or circumstances. Wiley provides non-GAAP measures as a supplement to evaluate underlying operating profitability and performance trends. These performance trends do not have standardized meanings prescribed by U.S. GAAP and therefore, may not be comparable to the calculation of similar measures used by other companies. This should not be viewed as alternatives to measures under GAAP. Please see the reconciliation and explanations of all non-GAAP financial measures presented in the supplementary information included in our press release. Unless otherwise noted, we will refer to non-GAAP metrics on the call, and all variances will exclude the impact of currency. After the call, a copy of this presentation and a playback of the webcast will be available on our Investor Relations webpage. I'll now turn the call over to Wiley's President and CEO, Brian Napack.
Brian Napack: Thanks, and good morning, everyone. On behalf of all Wiley's colleagues, I'd like to extend our thoughts to the many lives, many whose lives have been impacted by the global health and economic crisis. The past hundred days have reminded us of the critical importance of community, and that how much we all rely on each other. We've been uplifted by neighbors, essential workers and health professionals as they work to care for all of us. At Wiley, we've seen our community in action with scientists curiously developing testing, therapies and vaccines, with educators innovating and adapting to ensure that learners can continue their developmental journey through these difficult times. We stand in solidarity with those affected by the egregious acts of racial injustice in Minneapolis, Louisville and elsewhere in the world. And with those bringing awareness to this fundamental problem. The core values of community essential to Wiley’s culture, everything that we do is we work to improve access and affordability and education, and to facilitate scientific progress, such as medical breakthroughs. Now more than ever, our work can help to heal, recover, and rebuild trust. Like most businesses, Wiley’s short term performance has been adversely impacted by the pandemic and the resulting economic dislocation. At the outset, our priority was of course, to ensure the safety and wellbeing of our colleagues. We transitioned very smoothly to work from home worldwide. Throughout, we've continued to support our customers, partners and communities without interruption. From a performance perspective, we drove hard through the fourth quarter and finished the year ahead of our April 9 expectations. During this period, we also generated good momentum in our key strategic areas of focus. The company is fundamentally strong. We benefit from modest leverage and ample liquidity. Nonetheless, we do face near term uncertainty as universities and corporations work to adapt to new market and economic conditions. Consequently, we're stepping up our business optimization initiatives significantly in response to the pandemic, while carefully prioritizing the timing of investments to best serve our customers. Despite short term challenges brought on by COVID-19, our key businesses, peer reviewed research, online education, and corporate e-learning, continue enjoy long-term positive trends. This is because each is an essential component of the global economy. In fact, many of the long-term trends driving these businesses on which we've built our strategy are accelerating in our favor as a result of the current situation. Given the limits of our near term visibility, we will not be providing annual guidance for fiscal ‘21 at this time. We will though be transparent in the quarters to come about what we're seeing, and we will provide important data points and KPIs as we make our way through the recovery period. I want to recognize the tireless work of our Wiley’s colleagues. They have kept the Wiley's ship sailing strongly forward through the work from home transition, and have largely thrived in terms of productivity and engagement. The team has continued to hit our goals and milestones while mitigating any impact on our operations brought on by the pandemic. Through the period, we've been securing important subscription agreements even in the hotspot areas, increasing publishing output, reporting the new global educators through their urgent transition online and driving strong cash flow collections. In our regular surveys, an overwhelming majority of our colleagues report feeling both happy and productive. My heartfelt thanks to the entire team for their accomplishments, dedication and comradery. I’m pleased to report that a few of our international offices have already begun to reopen. Although, we do anticipate an extended and careful period of transition as we go back to the office. Through the crisis, we’ve made large amounts of scientific and medical research, digital courseware and online education services freely available. We specifically opened up thousands of COVID related research studies to help the search for effective testing, therapies and vaccines. And we've helped many universities, schools and companies go virtual as their physical operations have been disrupted. We're also working hard to keep the broader community supported wherever possible. Among other things, we are honored to have partnered with two organizations and getusppe.org, which has, we’ve developed over a million of face shields and other PPE to healthcare workers worldwide and Digital US, which is focused on working to equip workers with essential digital skills over the next 10 years. This will be even more critical going forward given a massive job dislocation. We've always been proud of what we do in research and education, but it's coming to crisp focus into the ongoing health concerns and economic insecurity caused by the coronavirus. Wiley is not immune to the disruption caused by the pandemic, but it's important to recognize that longstanding market trends remain highly favorable for Wiley’s businesses. Many of these are accelerating due to COVID-19. The value of peer reviewed research is unquestioned and the demand to publish and consume research continues to increase even through the crisis. The pandemic has caused colleges, universities and students to embrace online education with unprecedented speed. To-date, educators have had to be more reactive and strategic but already, the sudden shift to remote learning has made digital courseware delivered at a compelling price point obviously essential. Now rising adoption and usage stats show this. Long-term, the wide scale transition to education will benefit our growing service businesses as people migrate to efficient affordable career focused education to gain the degrees, and online credentials that they need to get jobs in an even more challenging labor market. On the corporate side, employers will continue to need help finding training and upskilling employees with hard to find skills in areas such as information technology. And there's now increasing recognition [Technical Difficulty] cost effective and powerful solutions. We are well aligned with our content, platform and service offering to help universities and corporations address the persistent skill gaps that exist today and going forward. Let's turn to the quarter's results. Note that we'll be excluding the impact of currency when discussing performance. As I said earlier, COVID-19 had a significant impact on the fourth quarter with revenue, adjusted EPS and adjusted EBITDA down 2%, 44% and 23%. The challenges introduced by the pandemic include the shutdown of retail bookstores and the temporary prioritization of essential goods by online retailers which significantly impacted print book sales. The shutdown testing sites for college entrance and certification exams impacted our sales of test prep courses. The closure of corporate offices naturally led to shutdown and in person corporate training, which impacted the sale of our corporate assessment and training programs with university closures, delays in journal subscription agreements, although, we did finished the quarter strongly. The GAAP EPS loss of $2.83 this quarter reflected two non-cash non-recurring impairment charges. In education services, we recorded a non-cash goodwill impairment charge of $110 million. Performance below acquisition expectations and COVID related headwinds contributed to a determination that the carrying value of the education services segment exceeded its fair value. That said, we remain fully confident in the strong revenue growth and profit potential [Technical Difficulty] business. Second, we recorded a non-cash trade name [Technical Difficulty] of approximately $90 million related to the Blackwell brand. This reflect the decision to simplify our brand portfolio by unifying our research journals under the Wiley brand [Technical Difficulty] will result in a sharp reduction in the use of the Blackwell trade name acquired in 2007. The charge is entirely unrelated to COVID-19 already expected future performance of the research segment. We also recorded a restructuring charge of approximately $15 million related to our multi-year business optimization program. [Technical Difficulty] prior estimates due to additional actions related to the impact of COVID-19 [Technical Difficulty] more about our efficiency measures, but I will say that we are controlling our expenses closely during the [Technical Difficulty] temporary pay reductions for May and for my direct reports [Technical Difficulty] Wiley colleagues globally as we navigate this uncertain economic phase. Collectively, the three unusual charges for the quarter amounted to $3.49 a share. Despite the obvious financial impact of COVID-19 on Q4 performance, we had some significant accomplishments. We closed important journal subscription agreements and drove strong double-digit open access growth. We achieved impressive research, supply and demand metrics, including article submissions and platform usage. We generated momentum for digital courseware adoption before and during the transition to remote learning. We added four new university partners and education services, and we recorded $168 million in free cash flow per quarter. For the full year, we continue to see solid revenue and profit growth in our research and education services segment, while academic and professional learning was weighed down by challenging market conditions for print book and the fourth quarter impact of COVID-19. Revenue rose 3% while adjusted EPS and adjusted EBITDA declined 21% and 8%, reflecting the dilutive impact of acquisitions, investment in [Technical Difficulty] growth and the impact of COVID-19. Free cash flow was up 16% over prior year but below fiscal year expectations, primarily due to COVID related customer payment delays. Across Wiley, we made strong progress in fiscal '20 on our most important strategic priorities. This included publishing more in research, driving growth and momentum in digital courseware and online education, and improving our operating efficiency. Today, nearly 80% of Wiley's revenue is generated from digital products and tech enabled services, and this continues to rise. Finally, on acquisitions this year bolstered our positions in IT career skills training, digital courseware and corporate research product and platforms. The integration of prior acquisitions are all proceeding as expected. Now, let's take a look at our business segments. Our research business had another good year with revenue up 2% and adjusted EBITDA up 4%, even after factoring in COVID-19. In the quarter, revenue declined 1% while adjusted EBITDA was flat. As noted, we continue to see strong double-digit growth in open access publishing, and calendar year 2020 journal renewals were steady. Demand metrics were exceptional in fiscal '20 with article submissions up 13% and Wiley online library usage up 25%. In the year, we continue to drive the market forward with comprehensive national agreements in the UK, Sweden and Finland. Finally, our add upon platforms business grew 11% with eight new clients and recorded a 97% retention rate, further extending our market leading position in the distribution of research content. Wiley research continues to [Technical Difficulty] very strong market position with our strong portfolio of top tier journals publishing and growing volume of research. Our focus for fiscal ‘21 is consistent with our stated strategy and recent momentum. We will continue to drive article volume growth and lead in open access. We must successfully navigate the calendar ‘21 renewal season as COVID-19 uncertainty weighs heavily on university. Our calendar ‘20 subscriptions are locked in through December, and our calendar ‘21 season kicks off in September. Our content remains essential to researchers inside these institutions, so we're cautious and confident. We will continue to expand our presence in China given the huge opportunity there to source and publish more high quality research. We will continue to grow our research revenue streams in corporate solutions and in research platforms. We made a couple of small acquisitions that we're excited about in the corporate space, one for spectroscopy software and databases that allow researchers and companies to interpret data and a SaaS career center platform for societies, associations and other organizations. Just last week, we announced the deal to manage the science careers job for the American Association for the Advancement of Science AAAS, the world's largest scientific society. This is just another example of Wiley consolidating its leading position with societies enabling more upsell opportunities. In fiscal ‘21, we also will continue to drive the optimization of our journal portfolio and our work flows to both improve our efficiency and to enhance the researcher experience. Despite the world's uncertainties, research remains a fundamentally strong business with a recession tolerant profile and steady strategic momentum. As noted, academic and professional learning was severely impacted by the pandemic shutdowns of universities, workplaces and bookstores. The most effected sectors for Wiley have been book publishing, mainly due to bookstore closures, test prep due to test site, testing site closures and in person corporate training programs due to corporate office closures. All of these have shown improvement in May but the near term remains challenged due to COVID-19. Academic and professional revenue and adjusted EBITDA for the year were down 6% and 28% respectively. We're down 16% and 49% for the quarter. On the bright side, as noted before its transition to remote learning has driven accelerated demand for digital courseware with strong fourth quarter momentum in our critical learning platforms, WileyPLUS, zyBooks and Alta. It's important to note that digital courseware and other digital content comprise 59% of Wiley higher ad revenue in the year compared to 35% for print books and 6% for other products. We also saw good momentum incorporate e-learning with record usage for our cross knowledge SaaS learning platform and strong new corporate signings with three new logos signed this year compared to 43 in the prior year. The question marks for us in academic and professional for fiscal ‘21 are fall university enrollments, pace of return to work and corporate training budgets expect to have more clarity in the fall. Near term uncertainty is evident across the segment due to COVID-19 long-term trends look favorable due to the increasingly robust migration to online learning in university and corporate settings. This move is being driven by the increasing market acceptance [Technical Difficulty] proposition of digital learning platforms [Technical Difficulty] deliver strong learning outcomes at a reasonable price. [Technical Difficulty] academic and professional [Technical Difficulty] unchanged for fiscal '21. We will continue to focus investment on high demand [Technical Difficulty] areas, business, technology, engineering, science, math, and we will continue to deliver the highest quality content on digital learning platforms to drive adoption usage and education impact. We will leverage the accelerated shifts to digital courseware and e-learning by delivering a compelling price value proposition and innovative pricing models. Across the segments, we have major efficiency initiatives underway to address the near-term headwinds by transforming our work flows and better aligning our operating models with customer segments. Education services delivered another solid year with revenue up 42%, 11% organically and our EBITDA margin tripling from 3% to 9%. Growth was driven by strong double digit growth in fee based education services revenue. We added four new university partners in the quarter, Drake University in Iowa, the University of Iowa, Methodist University in North Carolina and Point University in Georgia. At the same time, we expanded our partner support during the COVID crisis, providing additional services, such as technology resources and assistance with course profession to get schools online quickly. We continue to improve the efficiency of the ed services business by optimizing the student lifecycle from acquisition to graduation by fine tuning customer acquisition costs and by driving students retention rates. The business remaining contracts to realize our fiscal ‘22 goal of 15% EBITDA margin. The integration of M3 is proceeding as planned. Although, COVID-19 does present a near-term challenge as companies adapts to these shutdowns and evaluate their hiring plans. As a reminder, M3 delivers job ready IT talent to the world's leading corporations. We are mitigating the short-term demand issues with innovative programs that will help us accelerate out of the COVID pause by training and stockpiling high potential talent so that it is ready to deploy when the market opens up. Since the acquisition, we've realized revenue and cost synergies across our growing tech education portfolio by integrating our two boot camp businesses by driving collaboration between M3 and our IT courseware group, and by developing joint go-to-market approaches for M3 and cross knowledge. As COVID-19 appeared, we saw a steep decline initially in new student lead volumes as the public focus on the crisis at hand. At the same time, colleges and universities closed and were forced to go online overnight. For us, the net result of this disruption remains an unclear picture of fall enrollment. Although, lead volumes have generally rebounded and schools are increasingly clear about their fall plans. Expect to have a clearer view of enrollment as we get closer to the start of schools in the fall. While fiscal '21 is difficult to predict, we do as we’ve said, see a continued acceleration of the movement toward online education by university, by corporations and of course by students. This is reflected in the continued high interest in our education services. And with this trend or and this trend will be helped by a challenging [Technical Difficulty] which typically after delay causes enrollment to rise. In short, post-COVID, people will be looking for ways to quickly and cost effectively get the education that can lead to better outcomes. Wiley continues to lead in the market and helping universities and corporations find, educate and develop talent. And we're well positioned with 69 university partners, hundreds of degree programs and a growing list of corporate clients that look to Wiley to deliver [Technical Difficulty] talent. Key areas of focus in fiscal '21 to ed services include moving quickly to [Technical Difficulty] changing conditions, adding new partners and programs through our high quality portfolio, continuing to optimize the cost of student acquisitions and to make the entire student journey more efficient. We have reached an EBITDA margin [Technical Difficulty] also finished the integration [Technical Difficulty] while leveraging revenue and cost synergies across our portfolio. Near-term uncertainty is the reality but I think we're at an inflection point for effective career enhancing education in the form of online and hybrid degrees nontraditional certifications that allow people to rapidly and affordably meet the specific and constantly changing needs of the labor market. I like where we sit. With that, I will pass the call over to John.
John Kritzmacher: Thank you, Brian. As a reminder, we issued our annual guidance last June and updated it for our Q3 earnings report on March 4th to reflect the impact of subsequent acquisitions and foreign exchange movements. On April 9th, about three weeks or so into the pandemic shutdown across the U.S. and Europe, we lowered our revenue, adjusted EBITDA and adjusted EPS guidance and we went through our free cash flow guidance given the lack of visibility around the timing of customer payments. Our guidance as of March and then the April revisions are shown here. Our fiscal year actuals are shown in the right hand column. As you can see, our colleagues rose to the challenge in April, closing new business, ratcheting down expenses and collecting on our receivables. Overall, our results trended favorably to our COVID adjusted guidance. In the end, we're estimating that the pandemic shutdown adversely impacted the quarter's revenue and EPS by $30 million to $35 million and $0.15 to $0.20 respectively. Our adjusted EBITDA margin for the year was 19.4%. Earnings for the full year reflect our investments in long-term growth initiatives and strategic acquisitions. The inorganic earnings impact of acquisitions was $0.33 per share of dilution for the year, including interest expense. Free cash flow of $173 million finished ahead of prior year by $24 million or 16%, primarily due to improved working capital performance. Nevertheless, we estimate that approximately $30 million of delayed customer payments slipped into fiscal year 2021. Our cash flow from operations was favorable to prior year by $37 million. As you can see, we continue to deliver solid cash flow performance over time. This foundational strength will enable us to stay the course in executing our strategic plans during the challenging period ahead. Our balance sheet continues to give us the flexibility and capacity to invest, acquire and return cash to shareholders. Our leverage ratio at year-end was 1.6, well below the 3.5 times cap under our revolving credit facility. In addition to our healthy cash flow and balance sheet, we have ample liquidity with $200 million of cash on hand and undrawn revolving credit in excess of $700 million at year-end. Our strong record of returning cash to shareholders continued with fiscal year sharing purchases and dividends totaling $124 million. Our current dividend yield is over 3% and our next annual dividend review is scheduled for later this month. As a reminder due to the economic downturn, we have suspended share repurchases until further notice. The next slide shows our capital allocation and how it's trended over time. We've consistently taken a balanced approach between returning cash to shareholders and investing for growth. In fiscal 2021, we expect to be opportunistic on the M&A front with continued focus on expanding our capabilities and scale in strategic areas. We project CapEx spend to be closer to $100 million, with investment focused on the development of tech enabled services and platforms, as well as workflow and process redesign. We will resume share repurchases as the economic environment and our business improve. And as already noted, our annual dividend review will take place later this month. The pandemic uncertainty precludes us from issuing annual guidance at this time. We simply do not have sufficient clarity around the depth and duration of the ongoing healthcare crisis and the economic downturn. We are also withdrawing our fiscal '22 targets given such limited visibility. We are actively monitoring several key indicators to effectively manage the near-term performance of our business. On the research side of our business, research funding and university finances are fundamentally important. On the education side of our business, campus reopening, student enrollments and university finances, which are tightly intertwined, are driving factors. Our corporate training businesses are dependent upon office reopenings and the duration of reductions in corporate spending on professional development. Although, our near-term visibility is limited, our financial position is very strong and we are well positioned to successfully navigate this downturn. Across our portfolio, our business models are predominantly digital and online and as Brian noted, we continue to see good momentum in key strategic areas. Broadly speaking, our performance largely depends on the timing and success of unwinding global social distancing measures. When that happens and clarity returns to the global economic environment, we expect to resume providing annual guidance. In the interim, we are responding quickly to reduce costs and accelerate our efficiency initiatives to mitigate the adverse impacts of the economic downturn. Among the actions we have recently implemented, we initiated incremental restructuring actions, incurring a charge of $15 million this quarter for actions that will generate run rates savings of approximately $30 million annually. The executive leadership team and the board unanimously agreed to take six month pay cuts ranging from 15% to 30%, which are not financially necessary for Wiley, but are important in demonstrating leadership's shared commitment to our colleagues across the company who will be impacted by deferred salary merit increases. We have implemented discretionary spending controls across the company. We're reviewing our real estate portfolio for rationalization given success to-date and working from home and the potential workforce benefits. We are significantly accelerating our process reengineering and technology in sourcing initiatives to enable our strategic plans and reduce costs. We're going well beyond belt tightening simplify, standardize and automate our workflows for sustainable efficiency gains. To further mitigate the impact of the economic downturn, additional cost savings actions are anticipated as we make our way through the coming fiscal year. And with that, I'll now pass the call back to Brian.
Brian Napack: Thanks, John. For over 200 years, Wiley has navigated [Technical Difficulty] uncertainty, operational discipline, fiscal prudence and strategic strategic, and we'll continue to do so through this one too. To recap today's main messages, Wiley’s fourth quarter performance was adversely affected by the pandemic. We drove [Technical Difficulty] ended ahead of our April 9th expectations while continuing to generate good momentum in our key strategic areas. Our business is fundamentally strong and is reinforced by modest leverage and ample liquidity, and we do face near-term uncertainty in our markets due to COVID-19 and its economic impact. Nevertheless, long-term trends remain very favorable for our core business and peer reviewed research, online education and corporate e-learning. Our strategic plans and investments are all focused in these areas, and we are carefully prioritizing the timing of our investments and accelerating our business optimization initiatives in response to COVID-19. Finally, our near-term visibility is just too limited to provide specific guidance at this time. Wiley is one of the most enduring companies in American history for a reason. Our financial position, cash generation and business fundamentals remain solid. We have a long history of adapting to a challenging and changing world. And while today's disruption across the globe presents challenges, our business as always remains essential to the global economy, our core strategies match very well with the future markets needs. Stating the obvious, it's been a difficult period for all. I wish you and your families good health and good luck as we continue to navigate through it and once again, I want to thank our Wiley colleagues around the world for their incredible work and commitment and for their remarkable accomplishments this quarter and this year. I'm grateful for the opportunity to work with such an extraordinary team. With that, we welcome your comments and questions.
Operator: Thank you [Operator Instructions]. Our first question comes from Daniel Moore with CJS Securities.
Daniel Moore: I want to start with the journal subscriptions. Can you give us a sense of where we stand today in terms of calendar '20 versus calendar '19 up or down by how much and roughly what percentage of business is closed to-date?
John Kritzmacher: So with regard to subscriptions, Dan, as you know, we've got an evolving model where we are now entering into both pay to read and pay to publish models in some countries in Europe. So direct comparison across two subscriptions, signed versus prior year is a little bit different. But I would say in terms of our signing on business for this year, inclusive of both the mixed models and our subs agreements, we are, even with prior year, we actually as we noted in the comments earlier, made very good progress in April in closing additional agreements. And we expect to conclude most of our subscription agreements now during the balance of our first fiscal quarter. Again, this is all with regard to the calendar year '20, the calendar year '21 subscription season gets underway in the September, October timeframe.
Daniel Moore: And on that note, what are you hearing from your university journal customers at this point, obviously, most if not all are under pretty extreme financial stress. What are maybe some of the dialogues and steps that you're taking, whether it’d be temporary price concessions, volume discounts, and/or maybe eliminating noncore titles, just as they navigate through these interest, pretty unusual budget times? Any color there would be extremely helpful.
Brian Napack: So, as you said, we feel confident in the essential nature of our content, but you're right to point out that universities and university budgets have been under pressure, or expected to be under pressure. We expect that to be evident as we go forward, really more about next year than this year. To date we've been very close to our, very close to the market. Obviously [Technical Difficulty] to be, we've been speaking for them, we've closed a bunch of deals during the COVID period. We saw no excessive price pressure during that period or under the point as you might worry about. So, so far the signals are good. We continue to keep our ear to the ground, as far as just not putting the pressure [Technical Difficulty] you would expect. Having said that we're really early in this, Dan. As I would say about many of our businesses, the world and the university world in particular is still trying to sort out [Technical Difficulty] librarians are very protective of their collections, they want to keep it, they know the value of it, universities understand the value [Technical Difficulty] research to their research activities, which are key to their university rankings on a global basis. So this is important stuff. To be clear, we've seen no material price pressure, no material unbundling, or anything of the sort. I wouldn't be surprised to see some. You’ve also asked about specific actions that we've taken. We went out early with a commitment to hold prices flat this year. We went public with it before anybody else did anything of the sort. And we were extremely well rewarded in PR for that, the market felt it, an act of good faith. As you know, we have taken the position as a good actor who in this market that wants to make sure that the entire ecosystem is healthy and collaborative in support of research. So that was a bold move on our part [Technical Difficulty] and necessary, and we believe it is allowing to get ahead of [Technical Difficulty] secure the ‘21 renewals with greater ease and greater confidence. So that's basically the story.
Daniel Moore: I'll sneak in one more, switching gears to education services. Obviously, it seem to be in the catbird seat as it relates to the shift to online. Are there any impacts you're seeing from COVID? Clearly, you continue to sign new business. Do we expect to continue to grow at healthy rates in fiscal '21 and if not, why not? 
Brian Napack: So '21 is unclear right now. It's easy to say that the COVID disruption is moving everything and everybody online. And in the long run, we believe we are at and beyond that inflection point where that's happening. We can see it in many ways. But we're in an unsettled period right now and we are not going to go out and say that that's going to come flowing through our enrollments immediately. What we do believe is that in the long-term, the trends are very much in our favor. And you see that in the interest level and our services that we're seeing right now. But today, most universities have been actually stunted by this. They're not making the long-term strategic decision. They're making short term decisions on what the hell do I do to get my students back on campus, and what do I do with my teachers who don't want to go into the classroom, because of fear of getting infected. So to-date it's been more tactical. I think these trends play out overtime. Again, specifically what we've seen since the crisis is initially a significant decline in lead generation, which you don't want to see. But happily that's fact that bounced back and right now we're at or above our three year levels even a time when people don't know where left from right. So we're not, we're seeing reason, we have reasonable confidence and we'll [Technical Difficulty] really early days, we won't know. As you know, the fall season, the fall enrollment is what really matters and we won't have a good beat on that for a few months. So as that happens, we'll keep you guys posted. But we are optimistic and we see good tailors tailwinds in this segment as soon as we get through the uncertainty and dislocation that currently is affecting our university partners and students and sorts of stuff.
Daniel Moore: But as of right now to be clear no change to the fiscal '22 targets on that side of the business?
John Kritzmacher: So Dan, I commented earlier that we're going to, we are withdrawing the fiscal year '22 targets given the uncertainty ahead of us. What I should point out is while top-line performance is less clear in this environment, we're making a lot of progress on the profitability of that business and so the 15% EBITDA target that we set for that business is well in sight. We've made good progress against that this year. We've delivered 9% EBITDA margin on that business this year. And we see a clear path to getting to the 15% EBITDA margin target that we’ve set.
Operator: [Operator Instructions]. Our next question comes from David Tang with Stifel.
David Tang: What was the source of the goodwill impairment for the ed services segment? Was it Learning House or was it Deltak, and what drove the underperformance relative to expectations? And then secondly, can you talk about the inventory levels at college bookstores and what your expectations are for the ordering patterns for the upcoming fall semester? Thanks.
John Kritzmacher: So first, with respect to the impairment of goodwill and the education services business, our balance sheet carries about, ed carried about $200 million in goodwill associated with the combination of the original Deltak acquisition and the more recent Learning House acquisition. As we noted in our comments, the goodwill impairment reflects an underperformance against our acquisition case assumptions and that in particular relates to revenue growth. We had particularly progressive revenue growth assumptions and over time we've not delivered on those. So in light of the lower performance historically in that business and given the economic headwinds that we see in the near-term, the impacts on universities and potentially on online enrollments, we modeled the business for lower revenue performance in the near-term. So the comments I just made to Dan we still expect the profitability of the business on the revenue base to be strong, and we are cautiously optimistic about future growth in the business. But given our track record and given what we've seen in the near-term in terms of COVID related headwinds, we found that the carrying value was in excess of the book value, and so we made an adjustment to goodwill. And we've not attributed particularly to the Deltak or the Learning House businesses, they're integrated now. We did pay a higher revenue multiple, I should notice, for the Deltak business. At the time that we acquired Deltak back in 2012, we paid about four times revenue. Learning House was acquired for 3 times revenue, so at a significantly lower premium. With regard to inventory at bookstores, I would say that what we've observed in the last couple of months given the slowdown in retail is that the inventories have remained relatively flat. What bookstores have tended to do is lower their ordering during this period that they've been shut down, because without the retail traffic they're not doing much to restock shelves. They don't have much following this passing through them for the most part. Now that's true. While the retail outlets have been fully closed, they are beginning to reopen. Some have some online business, but not the smaller ones. But others have, others have, the larger retailers have online business and all are slowly beginning to reopen, first with curbside and then they'll move to be fully open for retail. That is in early days and so I won’t necessarily claim that this is sustainable trends. But in early days, we are seeing some improvements in ordering as the bookstores prepare to continue serving their retail traffic. But again, it's early days. We still are just opening. And so there's some lingering effects here and it won't be fully unwound until bookstores are fully opened, up and running and along with that it’d be beneficial to have students back on campuses at the university bookstores.
Brian Napack: So I'll add just a little bit to that answer, which is an excellent answer. Interestingly and not surprisingly the consumer book sales numbers, industry numbers, have been points of purchase inventory numbers have continued relatively strong through this period of time. I'm not surprised by people at home, they go online, they buy books. The channel mix of course has changed. But the volumes have been very good and that's very hard, people like books, they keep buying them. And particularly in the categories that we are in, the segments we focus on in the consumer business, business books and that sort of thing, are our strong categories that continue to grow. On the education side, it’s a very, very thin period right now for book sales. This is not a time when college books, when college students are buying books, which is good. It means that during the peak of the COVID period, you're not worried about losing the bulk of the year. But it will point back to, from an inventory perspective, it'll be very interesting to see what happens in August, because that's when bookstores stock up for the college fall season. So that will be an interesting thing to watch. And that will be completely a function of the enrollment that they've secured between now and then, because that's how it works. They basically say we're going to have this many students in the classroom and we're going to order this many books. So, really it’s fall enrollments that will drive that and we won't have a sense of inventory until we get to August. But that will be good indicator, very good indicator, for us to look at. Having said that, we are seeing significant movement, as I indicated in my remarks, toward the digital material, the digital courseware, that have been growing nicely for the last few years and that have accelerated now. So, there maybe an enhanced shift, which if you've been following that we've been talking about, or the story that we've been talking to for the last couple years. As we move to those digital materials, we may lose a unit at a relatively high price in physical prints. But as we do, we gain multiple units of digital, because the sell-through is 3 times as high, because of the lack of substitutes for the digital courseware. And so we like that shift and so if we see some inventory and ultimate sell through problems in this fall, some of that will come back to us. We're hoping a lot of it will come back to us in digital. But the key number to look at and as we think about leading indicators is fall enrollment, it's all about the fall enrollment in the college business.
Operator: Thank you. And next question comes from Daniel Moore with CJS Securities.
Daniel Moore: Just obviously kind of doing everything that you can, John and Brian, to mitigate any near-term loss revenue as far as some of the restructuring efforts, taking aggressive cost actions even executive pay, et cetera. Netting that out, is there a way to think about kind of detrimental margins to EBIT maybe just a broad range in the areas that maybe you're under more pressure from a revenue perspective in the short-term?
John Kritzmacher: Dan, in the absence of guidance, it's really hard to comment on margin ranges in the go forward business. I think to get a handle though on what the go forward business looks like, start with thinking about the different businesses we're in and how they're impacted by the slowdown. So for example, in the research business as we talked earlier, most of the calendar year '20 subscription revenue and the mixed read and published agreements have been signed. And so they're effectively locked in through the calendar year and then we'll see what impacts we have around library budgets when we make our way through the renewal season in the fall. But the margin, the incremental margins on research sales, as you can imagine is quite strong. Across other businesses and academic and professional learning, which is where we've had most of adverse impacts in terms of top line performance, we see a combination of pressure on book revenue, which has reasonably strong variable margins but not on the order of the margins that we see in research. And there are also, within that segment, there are some training services that have high margins. So, modeling those out where we have the most impact, they're slightly different margins but they’re in that marginal range that we see around academic and professional learning. And then in education services, as Brian said, we're looking into the market ahead it's a bit uncertain. Overall, in that segment, as you know, the overall profitability is relatively low and working on building that up, so we have lot of confidence on bringing that back. But I think if you take a look at the mix of what we see in revenue performance, you can begin to interpret where margins for the business will head next year.
Daniel Moore: Maybe one or two more, and I'll let you get back. M&A, I think you said was dilutive by $0.33 to fiscal '20. Is that the right way to think about it?
John Kritzmacher: The inorganic impact for fiscal '20 was adverse into the tune of $0.33, yes.
Daniel Moore: And any commentary on the direction of that dilution as we get into '21, I know you're not giving guidance. So if that falls under that category at the time?
John Kritzmacher: Yes, I would only say, Dan, that we are expecting all to improve, where in particular, some of that dilution comes from the inorganic impact of Learning House. We're making good progress around the integration of learning house into the ed services business and as we've been saying, driving the EBITDA margin in the direction of 15%. So we'll see an improvement there next year. Also, some of the dilution comes from our Newton and zyBooks acquisitions. And again, we're integrating and we're gaining ground rapidly in terms of sales of those products. So, I also expect that the dilutive effects of those acquisitions will be substantially lower as well.
Daniel Moore: Lastly for me, just some really interesting commentary that Brian had around M3. You know I think you said you were kind of continuing to strain and stockpile high potential talent for when demand increases. So just maybe remind us of the revenue model, how that, is that sort of on your dime, if it requires incremental investment from and hopes to be placing people later? Just the dynamics of that would be really helpful. Thank you.
Brian Napack: So those that don’t don't know, basically what M3 does is a terrific and innovative business model where it works with leading corporations and in the dominant number of their clients are the leading, world's leading financial institutions. So, Morgan Stanley and Bank of America, names that you would know, HSBC and so forth. And they really have developed an incredible niche. They work with those companies through, I will say at the beginning and the end, have dramatic and increasing need for tech talent and they take orders from them basically. So Morgan Stanley says I'm opening up a development center in Mumbai or in Toronto, which we’ve done both of those for them, say Toronto or Montreal [Technical Difficulty] was one of those two. Then [Technical Difficulty] they go to leading universities, they take the best students from universities at graduation [Technical Difficulty] both training program to place those people based on those orders, specific orders from directly into jobs. For two year period, they are on our payroll and we charge them out to the client. And after that two year period, they become employees at a very high rate of the client. So that's the model. The revenue model there for us is that we're getting paid from day one by the clients at what they would normally charge for an entry level employee, and we are charging it significantly, excuse me, we are paying that employee a significantly lower amount as they get up to speed to be a full time, so that's a full time employee. Terrific model, very, very lucrative and very consistent. So now what's happened is we have a situation where, the economy taking shot on the side of the head and the clients have basically, are trying to adapt like everybody else. So they're not putting in new orders right now for students. I wouldn’t say none, they've significant [Technical Difficulty]. We've lost virtually none of the, what we call, alumni -- alumnus program that we're charging out to the clients. So that the number of students is absolutely steady, we’ve seen virtually no decrement in that and we've added some new ones. But it has become -- but we've responded on new demand, new orders basically for this period of time. Although, again, we've got a good pipeline and the like. And so now to get to the specific answer to your question. So instead now of building to a specific order, we've got this capacity, we've got an online boot camp capacity to train students. And so we are still recruiting those students who desperately wants these jobs and we have these great institutions that we can tell the students that we can get them jobs at. But instead of instead of having them bespoke to us or attach to a specifics job, we are taking, we are basically telling those students we will make you available to those clients once you get through the program and then they start hiring again. So we are putting cohorts of students through the same training that they would get otherwise, are doing it on our dime, meaning that we're not getting for. But because we are doing this virtually, the costs are very low to get those students up and running. And so we are basically, as I said in my remarks, we're stockpiling talent. And so Morgan Stanley opens the door again, we'll have a cohort of 25 developers that we can put into their development shop. So that's basically the end, is that a satisfactory answer?
Daniel Moore: Yes, absolutely. It's helpful. I appreciate it.
Brian Napack: We remain really excited about that business, and how it extends our education services portfolio, builds on our career, our mentality and our strategy. Bad timing, I suppose, nobody knew this thing was coming. But I think we're dealing with it pretty well.
Daniel Moore: But again, as you described a very low fixed cost base to get through the…
Brian Napack: Yes, absolutely.
Daniel Moore: Okay.
Brian Napack: And just to give you a sense, I think to keep going on about it, because I think that's probably enough of an answer. But when we acquired M3, they did most of their trainings in person. We had internally an online boot camp that we have merged with M3. So now M3 can do all of its training virtually and doesn't need the fixed [Technical Difficulty] situations. So the reason I point that out [Technical Difficulty] integration and the great synergy right off of that. This is what you guys want to see, right. You want to see us not acquire things that are out in left field, but things that benefit from our existing infrastructure and our existing capabilities.
Operator: Thank you [Operator Instructions]. And next question comes from Matilda Darsana with Barclays.
Matilda Darsana: I was wondering research publishing was down on constant currency at 2% in the fourth quarter. I was wondering because you mentioned delays in renewal subscription due to COVID-19. Isn't it the case that usually the subscription as we mentioned before are taken at the end of 2019 for the first quarter? So I was just wondering how exactly COVID-19 impacted the research and publishing segment?
John Kritzmacher: So the subscription base and the research journals business is recognized ratably over time for the majority of the subscription models that we deliver. So in particular, our digital model is recorded ratably over the 12 month calendar year. In the quarter, we had delays in signing some of those subscription agreements. So, subscription agreements are typically being closed between the months of October and March and April. And those that are recorded in March and April get a three or four months effects depending on when they're recorded for the calendar year, because their revenue recognition goes retroactive to the first of the year. So having some small delays in the month of April has a four month effect, if you will, on that period of time. So some of those subscriptions, just being delayed into the next period have that effect. Of course, we'll see the benefit of signing those agreements in the months of May and June. But that's the sort of timing factor that you would absorb, its revenue recognized over time and that delay given the challenges of remotely selling and social existence environment and getting contracts signed and the disruption that we were experiencing at universities around adapting to the current environment, slowed things down a little bit. Overall, we did a very good job of mitigating that impact but we did have some activity that moved into the month of May and June.
Matilda Darsana: Okay, thank you…
Brian Napack: And I'll just add a little bit, I'll just add a tiny bit to what John said. And that is that we also have some other businesses in the research segment that are more cash on the barrel, such as our reprint business of articles for the pharmaceutical industry and there are other pieces of it that are not subscriptions related.
Operator: Thank you. I'm not doing any further questions at this time. I would now like to turn the call back over to Mr. Napack for closing remarks.
Brian Napack: All right. Well, thank you all for joining us today. And we will look forward to giving you updates and news, and presenting our first results in September. Thanks everybody.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for participating. You may now disconnect.